Operator: Welcome to Charles River Associates Fourth Quarter and Fiscal Year-End 2014 Conference Call. Today's call is being recorded. Today's news release and prepared remarks from the company's Chief Financial Officer are posted on the Investor Relation section of CRA's website. With us today are CRA's President and Chief Executive Officer, Paul Maleh and Chief Financial Officer, Chad Holmes. At this time I'd like to turn the call over to Mr. Holmes for opening remarks. Please go ahead, sir.
Chad Holmes: Thank you, Christina. I would like to remind everyone that the statements made during the conference call concerning the future business, operating results, the financial condition of the company, including those identified in our earnings release and statements regarding our future hiring and share repurchases, our forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management's current expectations and is inherently uncertain and actual performance and results may differ materially from those expressed or implied in these statements due to many important factors. Additional information regarding these factors is included in today's earnings release and in the company's period reports with the SEC. The company undertakes no obligation to update any forward-looking statements after the date of this call. Additionally we will refer to some non-GAAP financial measures on this call, including adjusted EBITDA. Everyone is encourage everyone to refer to today's earnings release for a full reconciliation of these non-GAAP items to their GAAP equivalents, as well as the calculation of adjusted EBITDA based on GAAP and non-GAAP results. Let me now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks, Chad. Good morning everyone. CRA concluded fiscal 2014 with another strong quarter performance and outstanding annual growth and profits. We continue to experience broad-based demand for our services. On a full year and non-GAAP basis our portfolio performed exceptionally well with litigation and regulatory revenue growing by 9.2% and management consulting revenue increasing by 16.2% as compared to fiscal 2013. This annual growth contributed to a fiscal 2014 non-GAAP adjusted EBITDA margin of 16.5%, our highest full year margin since 2006. We’re proud of these results and want to thank our colleagues for a greater fourth quarter and fiscal year 2014. Let me first you walk through the quarterly performance highlights followed by our full year results. For the fourth quarter non-GAAP revenue was 77.4 million, a 4.2% increase over a strong Q4 of fiscal 2013 led by solid contributions throughout our portfolio and double digit growth in our finance, life sciences and energy practices. This revenue performance drove a non-GAAP adjusted EBITDA margin for the fourth quarter of 16.3%. Non-GAAP net income for the fourth quarter of fiscal 2014 was 3.5 million or $0.37 per diluted share compared with 3.7 million or $0.37 per diluted share for the fourth quarter of fiscal 2013. Our performance during the fourth quarter was driven by several factors. Project lead flow across the organization remain strong as we continue to be presented with our clients' most challenging problems. Our colleagues are converting these opportunities into revenue generating projects at an ever improving rate. This resulted in a healthy project backlog as we have seen in the past few years. As a result of these accomplishments, Q4 utilization was 75%, a particularly notable result given the heavy holiday calendar that fell during the quarter. Fourth quarter results capped off a terrific 2014 performance for CRA specifically for the full year 2014, CRA grew non-GAAP revenue by 10.3% principally through organic expansion. Non-GAAP income from operations grew at nearly three times that rate at 28.5%. Non-GAAP earnings per diluted share for fiscal 2014 equaled a $1.37 reflecting a 21.2% year-over-year improvement. For fiscal 2014 cash flow from operations up 30.2 million was reinvested into the business for staff development, recruiting and infrastructure improvements as well as for share repurchases. We grew the business and at the same time repurchased approximately 971,500 shares, up common stock for 25.5 million during the year. We’re focused on continuing to drive organic profitable growth by deepening client relationships and creating new revenue generating opportunities via natural extensions of our current offerings. This foundation has proven to be an effective platform for welcoming new colleagues. We’re pleased with the contributions of senior level professionals who joined us during fiscal 2014 and expanded our offering in areas that include and I trust in competition economies, energy, finance, life sciences and Marakon. For example, Maria Blanco who joined in October of 2014 support our vision of growing Marakon's management consulting offering and financial services. Earlier this year we announced that Michelle Burtis and Steven Tenn joined our Antitrust and Competition economies practice and in addition to Michelle's expertise in Antitrust litigation, she is one of the most highly regarded class certification experts in the U.S. and add depth to an area of the practice that we’re looking to grow. Steve joined us from the Federal trade commission and deepens our merger related expertise. Looking ahead, CRA's performance in 2014 has positioned the company for continued success in fiscal 2015. We’re introducing full year fiscal 2015 non-GAAP revenue guidance in the range of 312 million to 320 million with revenue growth anticipated to be more weighted toward the latter half of the year as new hires join the company through a normal recruiting efforts. With respect to profitability, as we pursue top line growth CRA expects full year fiscal 2015 non-GAAP adjusted EBITDA margin in the range of 16.3% to 16.7%. Fiscal 2015 also marks a special time for CRA. We’re celebrating the company it's 50th anniversary. 50 years ago on February 19th, 1965 CRA was incorporated so you’re sharing some unique history with us today. Many people have contributed to CRA's success. It has never been the result of one individual, one practice, or a single geography. We’re incredibly proud of everyone's accomplishments and I want to thank our people past and present for their contributions. With that I will turn the call over to Chad for the CFO remarks. Chad?
Chad Holmes: Thanks, Paul. As a reminder a more detailed report of my remarks on the financial results can be found on the investor relation section of our website. Right now I will cover a few key metrics. Consulting productivity continue to drive fourth quarter non-GAAP gross profit as a percent of revenue to 31.5% in fiscal 2014 from 31.0% a year ago. For the full fiscal year 2014 non-GAAP gross margin percentage increased to 31.7% compared with 31.3% in fiscal 2013. Fourth quarter non-GAAP selling, general and administrative expenses as a percent of revenue excluding commissions to non-employee experts increased to 19.2% in fiscal '14 from 18.6% a year ago primarily due to the heavy holiday calendar that fell during the fourth quarter of 2014. For the full fiscal year non-GAAP SG&A expenses as a percent of revenue excluding commissions to non-employee experts was 18.7% in fiscal 2014 compared with 19.0% in fiscal 2013. The annual improvements in gross margin and SG&A drove non-GAAP income from operations as a percent of revenue to 7.9% in fiscal 2014 compared with 6.7% in fiscal 2013. In terms of head count we ended the fourth quarter with 451 consulting staff which consisted of 347 senior staff and 104 junior staff compared with 442 consulting staff a year ago. We have continued to make hires following the close of fiscal 2014 and seek to increase headcounts in Q1 and beyond. The effective tax rate for the fourth quarter and for the full year fiscal 2014 on a non-GAAP basis was 36.5% and 41.2% respectively. For fiscal year 2014 we estimate our non-GAAP tax rate to be in the low 40s percent range. Turning to the balance sheet, our DSO at the end of the fourth quarter was 99 days compared with the 98 days that we reported in Q3 of fiscal 2014. DSO in Q4 of fiscal 2014 consisted of 68 days of build and 31 days of unbilled compared with 62 days of build and 36 days of unbilled in Q3 of fiscal '14. In terms of our cash position, we concluded fiscal '14 with approximately 48.2 million in cash and cash equivalents in-line with the approximately 51 million at the end of fiscal 2013. During the fourth quarter of fiscal 2013, CRA repurchased approximately 440,000 shares of common stock for $12.8 million. After these purchases we have $20.9 million remaining under our current share repurchase program announced last quarter. We expect to remain an active purchaser of our shares. During 2015 our Boston and Washington, DC offices will undergo renovations to make for a more efficiency and inviting workplace. As a result we expect the expenditures related to these reinvestments in our business to total approximately $12 million net of tenant improvement allowances. The renovations began this month. That concludes my remarks. Christina we would now like to open up the call for questions.
Operator: [Operator Instructions]. Thank you. Our first question comes from the line of David Gold with Sidoti. Please proceed with your question.
David Gold: Couple of points of clarification, you just kind of bit of help on. First one is in looking at your guidance, we think about EBITDA guidance of the range you had given full I think 16.3% to 16.7%. On adjusted basis presumably that excludes the forgivable loans right?
Paul Maleh: Correct, yes.
David Gold: Okay. Can you give a sense of maybe -- can you sense for how significant you expect the forgivable loan piece to be? I'm trying to bridge it to a ETFs number.
Paul Maleh: Going forward is really hard to say what we expect the forgivable loan balance to be. He forgivable loans are a form of investment capital, we use to bring on new revenue generating sources into the organization sometimes they are used as straight acquisition accounting, sometimes we use the loans. I think it's a safe assumption to say the mix in 2015 will look similar to the mix of capital we use in 2014 and prior to that.
David Gold: Okay. I guess backup a second, so for the mix I mean you’re not taking a fourth quarter run-rate and keep going with it I presumably you have some new hires that you will be using forgivable loans for right?
Paul Maleh: What I'm saying is if you look on average for fiscal 2014 that is probably as good a predictor to the mix of investments capital that we would use in 2015 as we have right now.
David Gold: Okay. So guide post maybe that you can give?
Paul Maleh: I'm sorry, can you repeat that David?
David Gold: I asked if there are any maybe guide post that you can give even if it's a wider range. I guess I mean part of what makes this difficult from the outside looking and maybe you can help us here too is thinking about hiring plans and so maybe that’s a good segue. On record looking to take up the headcount by something like 5% by the end of the first quarter if we go back few months ago and I guess I would love an update on that, it looks like this quarter from a head count perspective the hiring activity was a little softer maybe than we would have expected. So just curious how much -- where we’re on that maybe an actual headcount and if you still think that’s an achievable goal.
Paul Maleh: Sure let me break up the question and into couple of parts. First, the majority of the hiring that we have been talking about in terms of expanding headcount will not require the use of forgivable loans. Forgivable loans are typically a source of investment capital that we use only when bringing on revenue generating sources into the firm. A lot of the individuals who will help us increase headcount are really individuals who will help fill out our delivery pyramid within the organization. So that’s one. Two, is the 451 quarter end is not that big a surprise, it's always difficult to get new recruits to start during the holiday calendar. I’ve been very pleased with the level of hiring activity that we have had in the first six weeks and we’re working hard to continue on that. I still think our initial goal is achievable and if not its Q1 that is not going to stop our pursuit to bring on these professionals.
David Gold: So maybe if you can broaden -- answer a little bit of two things, one hiring goal maybe for the year then and then two I guess from where you sit, when you say maybe the 5% is achievable for the first. It's 5% from where we’re today, from the 451 right? Using that as a base?
Paul Maleh: I believe when the 5% was quoted it was based on the headcount that we were talking about it at the end of Q3 which was 449 - 451, is roughly the same. And that was sort of our initial headcount goals, we still anticipate to add more heads to our normal on-campus recruiting that had been going on through the fall and through the winter months and as we have talked about in prior calls in terms of the level of aggregate added heads it's probably going to mirror that in terms of the year-over-year basis pretty closely to the revenue ranges that we achieve. Adjusted for when they join the firm. I guess what I'm trying to say Dave is that the rate of growth in heads will probably look similar again adjusting from these people join to the rate of growth in revenue.
David Gold: So again, I know you’re on guide post that you will be comfortable giving at this point?
Paul Maleh: The only difficulty in giving the guide post is that the head started very different times. So I may give you a targeted guide post for the year-end but the waiting of when they will join our firm really impacts the revenue and profit contributions from those individuals. That’s one of the reasons we decided to go with the revenue guidance and a profit guidance range to give a little more transparency to our investors as opposed to trying to do the math of headcounts and billings and utilization given the timing of these additions.
David Gold: And then I guess one or two things I would just like to hit on, first when you think about whether you would like to add if you want to look in terms of revenue it's fine too, from a practice perspective can you give some color there?
Paul Maleh: Sure. I think the planned headcount additions will pretty much mirror the size of the practices that we currently have in our portfolio. The four largest practices that we have in CRA is our competition practice, the finance practice life sciences and Marakon. SO I think the majority of staffing additions will be across these four areas.
David Gold: And then one last, it's a little bit of more challenging question to ask given what's happening on the headcount side and the hiring but utilization. We think about it very decent showing 2014, is there still potential there, putting aside the fact that the new hires presumably weight on utilization near term.
Paul Maleh: I think we’re going to aim for utilization in the mid-70s. I think we can be a very profitable organization with utilization in that range and what we will not do is I will not forego us taking market share and pursuing revenue opportunities to maximize short term utilization. So there is always a trade off with adding new colleagues, integrating them and the impact on utilization. But I think this tradeoff is going to be value creating for the organization as a whole.
Operator: [Operator Instructions]. Our next question comes from the line of Tim McHugh with William Blair. Please proceed with your question. 
Tim McHugh: Just kind of following up on the hiring question, can you elaborate a little bit more where in particular you’re focused I guess for 2015 in terms of I guess where you see opportunities kind of the incremental growth within the business or new hiring opportunities that you want to build out more so understand kind of where you’re headed.
Paul Maleh: Okay. Let me try to give a little more color on that. So we were very fortunate to add some very senior professionals in the Marakon business unit. Some are working off restricted covenants over 2014 and some are ramping up with just joining us in the fall of 2014. So for these professionals we feel very good about their revenue generating potential so the hiring for our Marakon colleagues, a lot of it is going to be focused on building out their deliveries for these professionals. We also have within that group quite an active pipeline of very senior professionals, we’re also trying to build on and that’s going to focus on continued expansion in the financial services sector. We’re seeing opportunities in the energy and the consumer product sector that we will also continue to pursue. On life sciences, there the additions are really a combination of building out the delivery teams, of some of the additions in 2014 but we’re also seeing an active pipeline there. Finance, it is really across the board in terms of senior and juniors. On the competition practice we have been very fortunate the pipeline of candidates is about as active as I’ve seen it during my tenure at CRA. It seems like every time we have a recruiting success we’re getting twice as many new candidates enquiring about joining CRA. So there is a lot of the effort is focused on delivery team, we think there is opportunity to more efficiently deliver the revenue within that practice improving on the quality and the value of that delivery for clients. So there is probably lower level non-VP staff more of the focus.
Tim McHugh: Okay. And I guess just to ask a follow-up on that, that’s a pretty -- basically you described most of the parts of the business I guess you were adding within it, is that the way to think about it that it's pretty broad across the business or is it going -- is the hiring, a lot heavier in one area than the other as we think across this year.
Paul Maleh: I’ve been really pleased to see on having growth in revenue and you know improvements and profitability across these four areas. These four areas are also areas that we think we still have revenue opportunities in the marketplace, so that’s where we’re putting our capital behind that. I’ve several other practices that are growing, they are smaller and this are going to impact headcounts as much given the size of the greater organization but we are focusing our efforts on these four practice areas because what we’re seeing in the marketplace.
Tim McHugh: Okay and then on the balance sheet, I think you stepped up share repurchases obviously this past quarter and you talked about looking at investments, but I guess how aggressive do you want to be at this point with I guess leveraging that balance sheet across this next year in absence of seeing some significant acquisitions. I mean do you think about getting more aggressive with I guess taking that cash balance down a little bit and buying back more stock?
Paul Maleh: I think we were pretty aggressive throughout 2014 on the repurchase of those shares. Like there are limit is really not as much on our appetite as opposed to our ability given the trading restrictions on acquiring those shares. When we saw opportunity in the second half of 2014 we pursue them as vigorously as we could. There wasn’t, didn’t have anything to do with limitations on capital or reluctance to use the remaining cash balances for those pursuits. We’re going to approach 2015 in the same manner. What I see with what we have done, what I see in the prospects of the business, I still think CRA is a great value and we’re going to put our money behind that belief and continue to pursue those shares. Again we face some restrictions given the general liquidity of the stock, given what our repurchase ability is on a daily basis but it really doesn’t have to do with being capital constrain there in 2014. We basically exhausted the cash generated by the business across the areas that were highlighted by Chad, both reinvestments in the business being able to drive growth there and the share repurchase and I see a lot more of that in 2015.
Operator: Our next question comes from the line of Joe Fores with Janney Montgomery. Please proceed with your question.
Robert Simmons: This is Robert Simmons slipping in for Joe. Sorry if you already addressed this but do you’ve any commentary on the backlog you’ve now versus last year?
Paul Maleh: What we have been really pleased with and I'm sorry it sounds a little bit like rhetoric or broken record but our lead flow and conversions rates during the past two years are really at levels that I haven't seen for quite some time. So the level is impressive and the consistency by which these leads are coming into the organization. So we haven't seen that kind of drop off occur yet, fourth quarter was healthy beginning of 2015 is healthy. If I look at our project backlog I think as we referenced in the press release our project backlog now is as healthy as I’ve seen in the last number of years. So, we have to make sure that we’re taking those opportunities, taking that project backlog and burdening it into profitable revenue for this organization. But in terms of the contributions into the business we’re pretty pleased where we stand right now.
Robert Simmons: And how do you think about the M&A environment at this moment?
Paul Maleh: Your guy's guess is probably as good as mine. A lot of the factors that we’re seeing in the M&A marketplace have been around for the last several years. Money is basically free, cash balances are building at companies is not real. GDP growth in those firms are looking for alternatives to grow their top and bottom lines but with that we have had sort of ebbs and flows on the M&A volume in the past number of quarters. We have been very pleased with the pick-up in activity or the past six to nine months. I don’t have any opinion as to whether I expect that to continue into 2015. With that said what I have found very impressive during my 10 year as CEO and even before that, our competition gets theirs. Our competition practice gets there. By that I mean even during periods of our lower M&A activity we seem to get a very large share of the deal flow that is out there in the marketplace, the level of productivity our utilization in the competition practice has been strong throughout these ebbs and flows of the M&A marketplace. So, very impressive performance and I don’t see that changing particularly given the fact we keep adding to the quality and the depth of that portfolio.
Operator: It appears we have no further questions at this time. I would now like to turn the floor back over to management for closing comments.
Paul Maleh: Again, thank you to everyone for joining us today. As always we appreciate your time and interest in CRA. We will be getting out meeting with investors in the coming months and we look forward to updating you on our progress next quarter. With that this concludes today's call. Thank you everyone.